Operator: Good morning and welcome to the Federal Agricultural Mortgage Corporation First Quarter 2016 Investor Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Tim Buzby. Please go ahead.
Timothy Buzby: Thank you. Good morning. I'm Tim Buzby, Farmer Mac's President and CEO. Farmer Mac is pleased to welcome you to our first quarter 2016 investor conference call. Before I begin, I will ask Steve Mullery Farmer Mac’s General Counsel to comment on forward-looking statements that management may make today as well as Farmer Mac’s use of non-GAAP financial measures. Steve?
Stephen Mullery: Thanks, Tim. Some of the statements made on this conference call may constitute forward-looking statements under the Securities laws. We make these statements based on our current expectations and assumptions about future events and business performance. We do not undertake any obligation to update these statements after the date of this call. We caution you that forward-looking statements are subject to a number of risks and uncertainties. Actual results may differ materially from the results expressed or implied by the forward-looking statements. In evaluating Farmer Mac, you should consider these risks and uncertainties, as well as those described in our 2015 Annual Report on Form 10-K, our subsequent quarterly reports on Form 10-Q and our other filings with the SEC. Farmer Mac uses core earnings and non-GAAP financial measure to measure corporate economic performance and develop financial plans, because of management’s view, core earnings is a useful alternative measure for understanding Farmer Mac’s economic performance, transaction economics and business trends. This non-GAAP financial measure may not be comparable to similarly-labeled non-GAAP financial measures disclosed by other companies. Farmer Mac’s disclosure of core earnings is intended to be supplemental in nature and is not meant to be considered in isolation from as a substitute for or as more important than the related financial information prepared in accordance with GAAP. A recording of this call will be available on our website for two weeks starting later today.
Timothy Buzby: Thank you, Steve. Farmer Mac is off to a good start in 2016. During the first quarter, we continue to grow our outstanding business volume and credit quality remains stable. Farmer Mac ended first quarter 2016 with outstanding business volume of $16.2 billion. We added $1.3 billion of new business this quarter resulting in net gross of $317 million after maturities and repayments. The increase was primarily due to a significant increase in our institutional credit line of business which we believe reflects the continued trend towards financial institutions recognizing the competitive benefits of Farmer Mac’s wholesale funding solutions. Overall, our institutional credit AgVantage securities grew by $337 million and this growth was balanced between the agricultural and rural utilities sectors of our business. On the rural utility side, we added $250 million of new business with National Rural Utilities Cooperative Finance Corporation which is known as CFC. On the agricultural side we grew by nearly $97 million net of repayments, with $100 million in new business coming from our traditional AgVantage product and $25 million from two Farm Equity AgVantage deals, which included one for a new counter party. We are excited about this new relationship which we expect to grow overtime and for the long term growth prospects for this wholesale funding solution in general. During the quarter we also successfully refinanced the $500 million AgVantage Farm that was maturing with MetLife, as well as a $50 million AgVantage Farm for [Indiscernible] finance. In terms of our Farm and Ranch line of business, we purchased nearly $200 million of new loans this quarter, which reflects a pace more than 50% greater than that of first quarter 2015. This higher pace of volume is being driven by an ongoing strong level of primary demand from land sales as well as increased demand for credit given the tighter agricultural economy. Net of repayments which are historically higher in the first quarter, our Farmer Ranch loan purchase business grew more than $64 million in the first quarter of 2016. Farmer Mac’s net effective spread for first quarter 2016 grew $0.7 million compared to first quarter of 2015 due to growth in our outstanding business volume. Compared to fourth quarter of 2015 net effective spread was flat in dollar terms and decreased modestly on a percentage basis. Dale Lynch will describe those changes in more detail in a few minutes. The credit quality of our portfolio remains stable. As of March 31, 2016 $34.7 million or 0.61% of our $5.7 billion Farm and Ranch portfolio was 90 days delinquent compared to 0.56% at year end 2015. As we have previously, we expect that overtime Farmer Mac 90 day delinquency rate will eventually work closer to our historical average on approximately 1% due to macroeconomic or other factors. On balance, we believe a reversion closer to our historical average is healthy. And that Farmer Mac’s business can benefit through higher volumes and wider spreads in such an environment. As we have discussed on previous calls, the western part of the United States and in particular California continues to experience the effects of drought conditions. These conditions could have an adverse effect on Farmer Mac delinquency rates over loss experience in the future. We have not yet seen a material impact on our portfolio. We continue to remain informed about the drought and its effect on the agricultural industries located in the western states and on the [Indiscernible] Farm & Ranch portfolio through regular discussions with our loan services with service loans in drought stricken areas as well as customers and other lenders in the industry. With that as background, I would like to turn to Dale Lynch our Chief Financial Officer to cover our financial results in more detail. Dale?
Dale Lynch: Thanks, Tim. As reflected in our first quarter 2016 results, Farmer Mac is executing well on the opportunities within its market. We believe that the relative value that Farmer Mac offers its customers is greater when credit conditions are somewhat tighter which we think can lead to greater volume opportunities for us. The fourth quarter 2015 and first quarter 2016 seem to reflect this trend and we believe the outlook for us is positive even as the agricultural economy adjusts to lower commodity prices and drought conditions in the west. We grew to a record outstanding business volume of $16.2 billion as of March 31, 2016. As Tim mentioned this growth was driven primarily from net growth in our institutional credit line of business which included the purchase of $250 million in AgVantage Securities from CFC. Spreads on new assets are stable to increasing and our credit quality remains good. Turning to our financials, Farmer Mac’s first quarter 2016 core earnings were $12.4 million or $1.12 per diluted common share compared to $13.1 million or $1.17 per diluted common share for fourth quarter 2015 and $9.1 million or $0.80 per diluted common share in the year ago quarter. A $0.7 million decrease compared to fourth quarter was primarily due to a $0.4 million after tax increase in operating expenses related to higher compensation cost resulting from the vesting of stock-based awards as well as higher G&A expenses driven by higher legal and consulting fees related to business development and some corporate initiatives. The $3.3 million increase in core earnings from the year ago quarter was driven primarily by a $3.5 million after tax decrease in preferred dividend expense resulting from the redemption of all outstanding shares of Farmer Mac II Preferred Stock in first quarter 2015, and a $0.4 million after-tax increase in net effective spread, and a $0.4 million after-tax increase in guarantee fee income. Partially offsetting the year-over-year increase in core earnings was a $0.5 million after-tax increase in credit-related expenses due to provisions to the allowance for losses in first quarter 2016 compared to releases in the year ago quarter, as well a $0.5 million after-tax increase in operating expenses related to the items I just mentioned. Turning to GAAP net income, first quarter 2016 net income attributable to common stockholders was $10.3 million or $0.94 per diluted common share, compared to $1.8 million or $0.16 per diluted common share in the year ago quarter. The year-over-year increase was primarily due to the absence in the first quarter of 2016 of an $8.1 million loss recorded in the year ago quarter resulting from the write-off of deferred issuance cost upon the redemption of the Farmer Mac II Preferred Stock on March 30, 2015 and the absence in first quarter 2016 of $3.5 million after tax increase in dividend expense recorded during first quarter of 2015 on that preferred stock. The increase was partially offset by the effects of unrealized fair value changes on derivatives and hedged assets, which was a $1.9 million after-tax loss in first quarter 2016, compared to a $0.6 million after-tax loss in the year ago quarter. Turning to spreads, Farmer Mac's net effective spread for the first quarter of 2016 was $29.9 million or 82 basis points compared to $29.9 million or 85 basis points in the year ago quarter, and $29.3 million or 86 -- excuse me in the fourth quarter of 2015 and $29.3 million or 86 basis points in the year ago quarter. There were two unique factors that impacted net effective spread in the first quarter of 2016, first market increases in LIBOR-based short-term funding costs increased. The financing cost on certain floating rate assets and second, a tighter spread on a $500 million AgVantage security that was refinanced at a shorter maturity than the original security also had a modest one time impact. Each of these two factors had about a one basis point impact on overall net effective spread. This market increase in LIBOR-based funding cost is not unique to Farmer Mac and is simply due to treasury rates being higher relative to swap rates than in the past. Farmer Mac is adjusting to its funding to mitigate this market driven dynamic and we have seen some improvements recently in terms of reductions for LIBOR-based funding cost especially for three month LIBOR-based assets. Notably we have also adjusted our pricing higher in the first quarter of 2016 on floating rate assets to offset these higher funding costs and this just starts to show up in our financials over the . The increase in dollar terms in the first quarter of 2016 compared to the year ago quarter wad due to growth and outstanding business volume. Turning now to our four lines of business, Net effective spreads for first quarter 2016 and fourth quarter 2015 were as follows. $9.5 million or 171 basis points for Farm & Ranch compared to $9.4 million or 172 basis points in the fourth quarter of 2015. $4.3 million or 91 basis points for USDA Guarantees compared to $4.5 million or 96 basis points, $2.5 million or 102 basis point for Rural Utilities compared to $2.8 million or 114 basis points and $11.1 million or 80 basis points for Institutional Credit compared to $10.9 million or 80 basis points. From a credit perspective, portfolio quality remained favorable during the first quarter 2016 as substandard assets total allowances in 90 day delinquencies remained near fourth quarter levels. Substandard assets as a percent of the Farmer Ranch portfolio increased slightly to 1.9% from 1.8% in the fourth quarter. This increase reflects the seasonal impact of the January 1 payment date on almost all loans in the Farmer Ranch portfolio. As of March 31, 2016 the total allowance for losses was $6.6 million or 12 basis points of the $5.7 million Farmer Ranch portfolio compared to $6.6 million or 11 basis points in the Farmer Ranch portfolio as of yearend. As Tim mentioned, 90 day delinquencies in the Farmer Ranch portfolio were $34.7 million or 61 basis points of the Farmer Ranch portfolio as of March 31, 2016 compared to $32.1 million or 56 basis points as of yearend and $32.1 million or 60 basis points in the year ago quarter. Farmer Mac’s other lines of business; there are currently no delinquent AgVantage Securities, or Rural Utility loans held or underlying standby purchase commitments. And the USDA securities are backed by the full faith and credit of the United States. As a result, across all Farmer Mac’s four lines of business the overall level of 90 day delinquencies comprised entirely of Farm & Ranch loans was just 0.21% of total volume as of March 31, 2016 compared to 0.2% of total volume as of yearend, and 0.22% in the year ago quarter. In terms of business volumes, we added more than $1.3 million in new business this quarter. Looking at the specifics for the quarter we added the following new business volumes, $927 million of AgVantage securities purchases, including $25 million of the Farm Equity AgVantage product, $199 million in Farm & Ranch loan purchases, $99 million of USDA Securities, $68 million of Farm & Ranch long-term stand standby purchase commitments and $9.7 million of rural utilities loan purchases. After repayments, net outstanding business volume increased $317 million this quarter. Turning now to capital. Farmer Mac's $563 million of core capital as of March 31, 2016, exceeded the statutory minimum capital requirement of $478 million by $85 million or 18%. This compares to core capital of $564 million, or $102 million of capital above the minimum requirement as of December 31, 2015. The decrease in core capital above the minimum required from year-end was due primarily to growth and on balance sheet assets this quarter. In terms of liquidity, Farmer Mac had 178 days of liquidity as of the end of first quarter 2016 compared to the minimum regulatory requirement of 90 days. More complete information about Farmer Mac’s performance for first quarter 2016 is set forth in the 10-Q we filed today with the SEC. And with that Tim, I'll turn it back to you.
Timothy Buzby: Thanks, Dale. Outstanding business volume is at an all-time high, our financial performance is strong and our credit quality remains good. While the agricultural economy continues to adjust to lower commodity prices and the West drought, the overall business climate for Farmer Mac remains positive. We believe that the relative demand for Farmer Mac's products could increase as credit becomes somewhat tighter and we believe this is evidence by our new business volumes in the past two quarter’s results. As we announced last quarter, Farmer Mac changed its dividend policy and increased the quarterly dividend to $0.26 per share on all classes of its common stock. Over time, Farmer Mac seeks to further increase the payout of its common stock dividends to reach approximately 30% of core earnings, which will puts us more in line with other publically traded financial companies. Farmer Mac’s capital base is strong and our earnings support these higher common stock dividends. Even with the higher dividend payout amount, we still expect to retain enough earnings each year to fund our growth and build equity capital over the long-term. In terms of delivering upon our mission, Farmer Mac continues to communicate the value of our products and solutions to current and prospective customers. We continue to sign up new banks for our loan purchase and credit protection products. We see strong interest for our Farm Equity AgVantage financing from existing and potential new counterparties. And fulfilling our missions to serve rural America, we are actively seeking to help bring new capital to agricultural and rural communities. At this time, we'd be happy to answer any questions you may have.
Operator: Thank you. [Operator Instructions] Our first question comes from Chas Tyson at KBW.
Chas Tyson: Hey guys. Good morning. I just wanted to ask first about the delinquencies. I know they were somewhat flat quarter-over-quarter but if you strip out the renewal paydown that happened after 4Q and it looks like they were up somewhat meaningfully. I was wondering if there was any trend you could discern there? Is it just kind of people not making the Jan 1 payments or there is some kind of geographic or story trend to those delinquencies?
Timothy Buzby: Yes. Thanks. There is no real story there and quite frankly, no concern at this time. We typically see higher levels of delinquencies at the end of first quarter where the many of our agricultural loans, some of them pay quarterly, some of them pay twice a year and some of them pay just once a year but almost of them have a payment that’s due on December 31. So, March 31, is when the largest population of loans are eligible to be 90-days delinquent. So the uptick is just part of the normal cyclical, payment patterns is not of a concern.
Chas Tyson: Okay. And then I think you noted in the Q that there was some reserve release from the general reserve that effected the provision this quarter. Is it possibly to give a breakout of what the gross provision was and then what the net out of the reserve release was?
Timothy Buzby: I think that’s in our disclosures. Dale, do you want to…?
Dale Lynch: We had a provision this quarter, Chas. It was about a 100 a day in that provision. The year-ago quarter had a release. So the year-over-year comparison on an after-tax basis at variance is like a $0.5 million increase in credit costs due to the prior year being a release and this year being a small provision. And that small provision was really driven by growth in the portfolio, Chas.
Chas Tyson: Okay. I thought I’ve seen in the Q that there was some amount of release that affected the total provisions, right now there was a small provision this quarter and if I had said that there was some release that affected it but maybe I was mistaken there.
Timothy Buzby: And we completed the work on the canola [ph] loans and so that has left the reserve but maybe that’s what it was, maybe that’s what you are thinking.
Chas Tyson: Okay. I think…
Timothy Buzby: It’s a net provision, but we maybe did talk about some of the puts and takes in that related to the Canola loan.
Chas Tyson: Okay. Thanks guys, appreciate it.
Operator: The next question is from Adam Grossbard at Sidoti.
Adam Grossbard: Hey good morning, thanks for having me on the call. You continue to add a significant amount of business volume in the quarter especially in the institutional credit segment. My question is what is the company's current capacity to keep growing this business volume while you know maintaining the underwriting standard? Thanks.
Timothy Buzby: Well certainly we are not going to relax our underwriting standards in any way. We do feel that we have the ability from a capitalization standpoint both in terms of our internal metrics that we run as well as the regulatory and statutory measures that we have. We think we have plenty of capacity in order to continue at this sort of a run rate and even a greater runrate. You know the recent buyback of shares that we started in 2015 obviously took that into consideration and we are very comfortable with capital levels that we have, but at the same time very optimistic about the opportunities for growth. So we do take a look at that and monitor it regularly but at this point we are excited for more growth and don’t have concerns of capital spend.
Adam Grossbard: All right. And just a follow-up to that, I guess if you continue to see this outsized growth, would you expect maybe to have to add staff or an increase in operating expenses?
Timothy Buzby: We had staff regularly. Quite frankly here in the last couple of quarters we have -- I have done so, that’s simply a matter of keeping up the level of customer service that we’ve come to expect of ourselves and our customer demand. It’s inline or its sort of running at the sort of the same pace of growth and is not sizeable from the standpoint of reducing our margins in any meaningful way, so while we will continue to add staff we think we will continue albeit relatively lean financial institution and we are currently at about 75 employees and its for $16.2 billion institutions. So as we grow to $17 billion and $18 billion, yes we’ll creep up to 80 and 85 employees but that will not adversely impact the overall returns to stockholders.
Adam Grossbard: Okay. Great, thanks. And then just lastly, you’ve mentioned you expect I guess a healthy rise in delinquencies to their long-term historical averages. My question is has the company taken any proactive measures to prepare for some of this, maybe an increased level of restructuring or what have you?
Timothy Buzby: Well that’s something that as we look at a troubled borrower, someone comes delinquent. The last thing we want to do is we’ll close on that [Indiscernible]. So we are constantly working with our services out in the field and our staff in our Iowa [ph] office in order to try and come up with the best solution for Farmer Mac and our customer of bank and financial institution, from credit institution also to the borrower. We haven’t had a lot of delinquencies over the course of the past several years as they start to creep up again I think your [Indiscernible] is healthy and I would repeat that word. As there is stress in the industry what happens is many of our customer take a look at how they manage the risks in their business and recognize that Agricultural has had a real good strong run for the past call it a decade and that they may need to look at some different solution and ways to manage the credit risk in that portfolio and network at Farmer Mac. We think that’s a good environment for us, seeking opportunities for us to bring in new customers and also take a look at our margins and make sure that we are charging the appropriate level of margin for the rest of the day. So we are not concerned like we said we think about one percentage where we are historically and if we do going up to that level, we will be perfectly comfortable with that.
Adam Grossbard: Okay. Great. Thanks very much.
Operator: [Operator Instructions] Seeing no further questions, this concludes our question and answer session. I would like to turn the conference back over to Tim Buzby for closing remarks.
Timothy Buzby: Thanks with no more questions, thank you for listening and participating this morning. I look forward to our next quarter to report our second quarter 2016 results in August. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.